Operator: Good day, ladies and gentlemen, and welcome to the John B. Sanfilippo & Son, Inc. Third Quarter Fiscal 2018 Operating Results Conference Call. [Operator Instructions] I would now like to introduce Chief Financial Officer, Mr. Michael Valentine. Please go ahead.
Michael Valentine: Thank you, Andrew. Good morning, everyone, and welcome to our 2018 third quarter earnings call. We appreciate your joining us today. On the call with us is Jeffrey Sanfilippo, our Chief Executive Officer, who is calling in from the road. Before we start, we want to remind everyone that we may make some forward-looking statements today. These statements are based on our current expectations and they involve certain risks and uncertainties. The factors that could negatively impact results are explained in the various SEC filings that we have made, including Forms 10-K and 10-Q. We encourage you to refer to these filings to learn more about the risks and uncertainties that are inherent in our business. Starting with the income statement. Net sales for the third quarter of fiscal 2018 increased by 17.2% to $203.2 million compared to net sales of $173.4 million for the third quarter of fiscal 2017. The increase in net sales was attributable primarily to a 12.5% increase in sales volume, which we measure as pound sold to customers and a 4.2% increase in the weighted average selling price per pound. The majority of the sales volume increase came from increased sales of private brand peanuts, almonds, snack mixes and trail mixes in our consumer distribution channel. Sales volume for Fisher recipe nuts fell by 4.6% primarily as a result of lost distribution of some items at a major customer. This was due to the introduction of private brand recipe nuts by that customer in that category. We anticipate regaining a portion of the lost distribution at this customer for Fisher recipe nuts in the first half of fiscal 2019. The decline in sales volume from this lost distribution was partly offset by Fisher recipe nut distribution gains at new and other existing grocery customers. The 126.1% increase in sales volume of Orchard Valley Harvest products resulted from new item introductions and distribution gains with new and existing customers. Fisher snack nut sales volume increased by 29.8%, due to increased promotional and merchandising activity at an existing customer primarily. Sales volume increased in the commercial ingredients channel, primarily because we reclassified some Squirrel Brand sales into that channel. These sales were included in the contract packaging channel in the third quarter of fiscal 2017. The decrease in sales volume in the contract packaging channel was primarily attributable to that sales reclassification. Net sales for the first three quarters of the current year increased to $677.1 million from $645 million for the first three quarters of last year. Increase in net sales in the year-to-date comparison was primarily attributable to a 3.9% increase in sales volume. The increase in sales volume resulted mainly from increased sales of peanuts, almonds, snack mixes and trail mixes, again, in the consumer distribution channel. The volume increase in the consumer channel came primarily from increased sales of private brand products and also Orchard Valley Harvest produce products. The sales volume decline in the commercial ingredients distribution channel resulted mainly from the loss of a bulk almond butter customer that occurred in the second quarter of fiscal 2017. Sales volume was relatively unchanged in the contract packaging channel in the year-to-date comparison. Third quarter gross profit increased by $4.8 million and gross profit margin as a percentage of net sales decreased slightly to 16.3% compared to 16.4% for the last year's third quarter. The increase in gross profit dollars was primarily attributable to the increase in sales volume that we mentioned earlier. Gross profit for the first three quarters of the current year decreased by $2.4 million, and gross profit margin as a percentage of net sales decreased to 15.6% from 16.8% of net sales for the same period last year. The decreases in both gross profit and gross profit margin were mainly due to increased commodity acquisition costs for walnuts and pecans during the first two quarters of this current year. We could not increase prices in response to these cost increases due to holiday promotional pricing commitments that were in place for the first half of fiscal 2018, primarily to support new Fisher recipe nut distribution gains that we talked about earlier. Total operating expenses for the current third quarter decreased to 9.4% of net sales from 10.1% for last year's third quarter. And this was due primarily to a higher net sale space. Total operating expenses in the quarterly comparison increased by $1.6 million, mainly from increased freight expense and also new amortization expense related to the acquisition of the Squirrel Brand business that occurred in the second quarter of the current fiscal year. Total operating expenses for the current year-to-date period decreased to 8.9% of net sales from 9.3% for the same period last year, again due to a higher net sales base. Total operating expenses in the year-to-date comparison increased by $300,000. The increase in total operating expenses resulted from the increased freight, personnel expenses, acquisition costs, consulting and sales commission expenses. These increases were largely offset by lower incentive compensation expense. Interest expense for the current third quarter increased to $1 million from $900,000 from last year's third quarter. And interest expense for the first three quarters of the current year increased to $2.6 million from $2.1 million last year. The increases in interest expense in both comparisons primarily resulted from higher debt levels and higher-average interest rates. Both of which were mainly attributable to increased debt from the acquisition of the Squirrel Brand business, again that occurred in the second quarter of fiscal 2018. I'm pleased to report that both net income of $8.6 million and diluted EPS of $0.75 were records for a third quarter. Now taking a quick look at inventory. The total value of our inventories on hand at the end of third quarter decreased by $16.5 million or 8.2% compared to the total inventory value on hand at the end of last year's third quarter. The decrease in total value of inventory was primarily due to lower quantities of walnuts and pecans on hand. Higher acquisition cost for walnuts, peanuts and cashews primarily led to a 1.6% increase in the weighted average cost per pound of a raw nut input -- raw nut and dried fruit input stocks on hand in the quarterly comparison. At this time, I would like to turn the call over to Jeffrey Sanfilippo, who will provide additional comments on our operating results for the third quarter of fiscal 2018. Jeffrey?
Jeffrey Sanfilippo: Thank you, Mike. Good morning, everyone. We reported record earnings per share for a third quarter. I'm proud of our entire organization for executing the strategies we developed for growth across our brands and with our collaborative customers. Third quarter diluted EPS increased by 35.9% to a third quarter record of $0.75 per share. These results were achieved in spite of headwind due to increased freight costs we experienced. This record third quarter was mainly driven by strong performance, as Mike mentioned, in our consumer distribution channel. Continued growth in private brand products, primarily with existing customers, accounted for 65.2% of the sales volume growth. And as I mentioned in our last few calls, the company continues to invest in our JBSS brands. Increased sales for our Orchard Valley Harvest and Fisher snack nut brands also contributed significantly to the volume growth in the consumer distribution channel. Our brands performed well at retail as well in the quarterly comparison according to IRi market data. Fisher recipe nut pound volume increased by 6% from distribution gains with new customers, while the total recipe nut category pound volume increased by only 2%. Orchard Valley Harvest pound volume increased by 69%, while the total produced category pound volume fell by 3%. Fisher snack nut pound volume increased by 3%, while pound volume for this total snack category increased by 2%. As we announced in the second quarter, we acquired the Squirrel Brand business at the end of November. The integration of the Squirrel Brand business was completed early in the current third quarter with the successful transition of all significant customers. With the integration now behind us, we are focused on growing the Squirrel Brand and Southern Style Nut brands in our consumer and commercial ingredient distribution channels, as part of our strategy of growing our branded portfolio and expanding consumer reach. Turning to a sales review by our JBSS channels. Net sales in the consumer distribution channel increased, as I mentioned, by 25.5% in dollars and 25% in sales volume in the third quarter of fiscal 2018 compared to the third quarter of fiscal 2017. Sales volume increase was driven by increased sales of Fisher, private brand and Orchard Valley Harvest nuts. Priorities for the consumer sales team for the remaining fiscal year and into fiscal 2019 includes further distribution gains of the new Fisher -- of our new Fisher Oven Roasted neckline expanding Orchard Valley Harvest and Squirrel distribution in the club channel and continuing to gain customers [indiscernible]. Ingredient distribution channel increased by 14.8% in dollars and 6.7% in sales volume. The sales volume increase for the quarterly comparison was primarily due to increased sales to new and existing customers, including customers that before the acquisition reported in the contract packaging distribution channel. Priorities in the commercial ingredient division include developing new business with noncommercial customers and restaurant chains and replacing the volume lost in the industrial business segment. While it is taking more time than anticipated, the sales and marketing teams are starting to get some wins, and we anticipate new business to ship at the end of the fourth -- of our fourth quarter. Turning to category updates; I'm happy to share some category and brand results with you for the quarter. As always, all the market information I'll be referring to is IRi reported data and for today, this is the period ending March 25, 2018. When I refer to Q3, I'm referring to 13 weeks of the quarter ending March 25. References to changes in volume or price are versus the corresponding period one year ago. We look at the category on IRi's total U.S. definition or multi-outlet, which includes food, drug, mass, Walmart, military and other outlets, unless otherwise specified. And when we discuss pricing, we are referring to average price per pound. Breakouts of the recipe, snack and produce nut categories are based on our custom definitions developed in conjunction with IRi. The term velocity refers to the sales per point of distribution. First, let me review some category dynamics. The total net category increased in sales dollars by 2% and pound volume was up 1% in Q3. Overall, prices in Q3 increased 1% versus prior year. Looking at specific nuts, pricing on cashews increased in Q3 by 7%. This pricing led to a 5% decline in pound volume for cashews. Price decreases on pistachios and almonds by 8% and 4%, respectively, versus last year, resulted in a 23% pound sales increase for pistachios and flat pound sales resulted for almonds. Prices on other nut types were relatively flat versus last year. Now I'll talk about each category a little more in depth starting with recipe nuts. In Q3, the recipe nut category increased 2% in dollars and pound volume sales. Pecan prices declined 2%, helping drive a 15% increase in pound volume sales. And walnut prices were flat while sales increased 6%. Almonds, a smaller portion of the recipe category decreased 38% in pound sales due to a 15% increase in price. Consumers migrated to other parts of the store to purchase almonds, as snack almonds increased 10% in pound sales, driven by a 7% decline in price. Our Fisher brand had mixed results in Q3. Fisher recipe nuts decreased 3% in dollar sales and increased 6% in pound sales for the quarter versus last year. This was driven by a transition with the key retailer from smaller pack sizes to larger pack sizes in their recipe category. As a result, Fisher pound share in the category increased 1.1 points versus last year, while declining 1.3 points in dollar share. The pound growth was also driven by an increase in retail distribution, which shows retailers continue to embrace Fisher brand. Recipe nuts has an ACV distribution of 65%, which is an 8-point increase versus last year. With the brand share growth, JBSS has achieved over the past few years, Fisher continues to be the number one brand in the recipe aisle in multi-outlets, whether measured in pound or dollar share. The increase in retail distribution primarily came from distribution gains with new major grocery retailers. Now let me turn to the snack category. In Q3, the snack category increased 2% in both dollars and pounds. Fisher snack increased 3% in pound volume sales. The increase was driven by a 3% increase in total points of distribution in new and current geographies, driven by our new oven roasted line of products. We are very excited about the launch of our Oven Roasted Never Fried line extension. We believe it is a differentiated offering and that Fisher is the first major snack brand to launch a line of oven roasted products across such a broad range of snack nuts. The products taste great and have a clean ingredient line of just nuts and sea salt. Fisher Oven Roasted was shipped to lead accounts in Q3. There are still very early reports, but we are optimistic about the velocity and the distribution that we've gained with our oven roast line. Fisher Oven Roasted first shipped to lead accounts, as I mentioned, in Q3. Additionally, the Fisher snack brand had strong sales at a key non-IRi reporting customer, which drove shipping growth beyond what is captured in IRi. In Q3, the produce nut category increased 1% in dollar sales and declined 3% in pound volume. Pricing across all nut types within the produce department increased versus last year driving the declines. Orchard Valley Harvest produce nut brand increased 79% in dollars and 69% in pounds at IRi reporting customers, while the share of the category increased 1.2 points in dollars and 0.6 point in pound sales versus last year. Total points of distribution increased by 102%, as more retailers leaders are adding Orchard Valley Harvest items to their sets. We have continued to build the core business success by launching new products, such as our Antioxidant Mix and our Heart Healthy Blend, both in multi-packs along with the line of salad toppers that has gained some early distribution. In closing, coming off of a challenging second quarter, our teams worked hard to build profitable volume and expand our distribution with current and new customers. In addition, we took action to better align our raw material costs with selling prices. As a result, we demonstrated a strong turnaround in Q3. While we face competitive challenges, we've proven our ability to manage through volatile markets quickly. We are focused on continuing to build our brands, especially the newest portfolio of Squirrel and Southern Style Hunter Mix products that we acquired in November. One key growth priority is to expand consumer reach of all of our brands. I'm happy to announce that you can now find JBSS branded products in an airport store near you. I purchased a bag of Squirrel Caramel Pecans at O'Hare on my way to San Antonio earlier this week for our Board of Directors meeting. The management team and all our dedicated employees have a steadfast commitment to develop business opportunities that create shareholder value and provide relevant, profitable, value-added products and services to our customers and consumers. We appreciate your participation in the call, and thank you for your interest in our company. I will now turn the call back over to Mike.
Michael Valentine: Thank you, Jeff. At this time, we will open the call to questions. Andrew, can you please queue up the first question?
Operator: [Operator Instructions] And our first question comes from the line of Francesco Pellegrino with Sidoti & Company.
Francesco Pellegrino: So first of all, very nice quarter for a third quarter. I know third quarters aren't supposed to be that nice. So obviously, I want to jump into that and sort of better understand the read-through for the rest of the year. The commentary in the press release and on the call, you had discussed not necessarily being able to get walnut and pecan price increases for the first three quarters. I was wondering what those conversations look like this quarter, if you're able to get any price increases for those two nut types this quarter? And maybe if that was sort of responsible for the strong performance since you're vertically integrated for those two?
Jeffrey Sanfilippo: So Francesco, we were able to get pricing aligned on our walnut program at retailers, so we did take pricing in the -- middle of -- beginning to middle of third quarter. We have aligned that and pecan prices as well. We're much better aligned now going into fourth quarter.
Francesco Pellegrino: Got it. The strong volume that you guys recognized during the third quarter. It -- is the third quarter, it's a low seasonal demand period. So initially, I might say it's nothing to right home to mom about, but then when I look at what you guys did on EBITDA per pound basis, your EBITDA per pound was really, really strong for not putting that much volume through your manufacturing facilities. I'm just sort of wondering what drove that? Because at least the way that I'm calculating it, it was probably 50% higher than what I would probably look for, for a traditional third quarter.
Michael Valentine: Francesco, I'll take that, this is Mike. I think that boost in the gross profit that came from the volume increase really flows down to the operating income line, as you can see in our income statement. And that's really the primary driver for the improvement in EBITDA.
Francesco Pellegrino: Well, I guess, then what I'm sort of thinking about going forward and I'll touch on it in a couple of minutes is, your private label business grew probably -- the volume growth for private label was twice as much as the volume growth for your branded product platform. So if you're seeing this EBITDA per pound as strong as it was in the third quarter, if you could regain some of this Fisher recipe nut business, these numbers could be really, really impressive. Is that the correct way to look at it? Because I don't really think the product mix shift to private label is what you guys want. But there seems to be more upside with some of your branded initiatives, just given what you guys were talking about for the first half of 2019.
Michael Valentine: Jeff, do you want to take that question, please?
Jeffrey Sanfilippo: Sure. So it's really a combination, Francesco. We still are committed to going private brands with some of our key strategic retailers. We think it's still a very important part of our business, but we're focused on the value-added pieces. So trail mixes, for example, is a key focus of ours for private brand. But you're right, we're really more focused on building our branded distribution larger and faster than our private brand business, however, just we were able to take some advantage this year in third quarter for private brand. But going into the fourth quarter and in the fiscal '19, we've got some great programs in place to build our Fisher recipe, our Fisher snack programs and our Squirrel Brand as well and especially, an Orchard Valley Harvest. So key focus, you're right, we've got a lot of momentum going into Q4 and into fiscal '19 with some strong growth opportunities for our brands, and we should be able to margin up those brands as well.
Francesco Pellegrino: Last quarter, Orchard Valley Harvest at retail and your shipment volumes change year-over-year was really impressive. And now you come in the third quarter, right now, and you report a 126% increase in OVH volumes. You attributed to new introduction than distribution gains. How much of that volume gain was attributable probably to new distribution? And how much of it was due to new product introduction?
Jeffrey Sanfilippo: Yes, Mike, I don't know if you can answer that or I don't know if Howard's in the room. I don't have some of the details in front. I would take the combination, Francesco, of both new distribution at new retailers and then some expanded product lines. So salad toppers, for example, is a brand new product launch in the marketplace and then some of the Heart Healthy and Antioxidant Mix is that relatively new product launch, but really new distribution gains there.
Francesco Pellegrino: Okay. Do you guys -- I would think just looking at how much Orchard Valley Harvest volume shipment was up, and then how much it -- the change or the velocity change at retail was up? It looks like shipment pounds were up twice as much as the change at retail. Some investors could potentially be concerned and saying what may be the inventory channel is getting a little bit backed up, but since a lot of that came from new distribution. Actually, this -- actually offers an opportunity for sustained volume growth going forward and maybe could calm some investor concern that channels are actually getting backed up for those -- for that brand. Is that the right way to view it?
Jeffrey Sanfilippo: That's exactly the right way to view it. I would say we are not backing up inventory at retailers, where it's gaining new distribution at new retailers and expanding the product lines that we've launched.
Francesco Pellegrino: And then just two more questions from me. I was a little bit shocked just to see where your inventory number was for the third quarter. I actually thought it was a really great number to have on the balance sheet, but then also realizing that there's going to be a drawdown on that third quarter number as we start going into fiscal 2019 makes me ask the question, how strong is your free cash flow going to be in the fourth quarter because that's really going to determine the size of the special dividend that you're able to authorize or the board is able to determine at some point or in the first half of 2019? Like I'm backing into maybe $3 of free cash flow for the fourth quarter.
Michael Valentine: I will take that, Jeff. Francesco, we don't quite have that number nailed down, but I will tell you that we will continue to see significant declines in inventory, primarily driven by significantly lower quantities of walnuts compared to the same period in the prior year. And that definitely will continue through the fourth quarter and into our first quarter.
Francesco Pellegrino: But Mike, correct me if I'm wrong. Because you're going be -- you take ownership of various raw materials in your second and third quarter and you drawdown that inventory in the fourth quarter. So you're not going to be bringing in any more inventory unless you're hand-to-mouth for certain specific nuts until the second quarter of 2019. So you should sort of be able to have, maybe a -- your mind wrapped around it a little bit better for what the fourth quarter would be, as compared to maybe this conversation and me asking the question about the second or third quarter?
Michael Valentine: Well, I think -- again, we have not quantified that particular forecast yet. But I would think that we would see significant declines in inventory in our fourth quarter as we saw in our third quarter.
Francesco Pellegrino: Are you short any particular nut that could make such a drawdown not occur?
Michael Valentine: As I mentioned, our walnut quantities are quite a bit lower than they were in the prior year, so we will draw that down very quickly. And again, I'm talking about the walnuts that we buy from growers, and we'll rely more on the shelled walnuts that we buy from other sellers, which we will do more -- take more of a just-in-time approach on that. So again, the dollars that we had in Walnut inventories last year, in our fourth quarter and first quarter, will be significantly lower in this upcoming two quarters.
Francesco Pellegrino: If you're a walnut seller and you have to go out to the spot market to buy shelled walnuts and knowing that walnuts aren't necessarily that great of a volume contributor to overall volume sales, can this be a significant headwind in the first half of 2019, as you get ahead -- as you sell into the fall season, the baking season, where the -- where walnuts are more of a desirable product for the holiday season?
Michael Valentine: Well, we're anticipating a record walnut crop. And also walnut shipments, primarily exports have been down this entire crop year. So we have a very favorable walnut market out there. So we don't anticipate any headwinds from walnuts.
Francesco Pellegrino: So there won't be any price gouging from sellers out there just knowing where potentially your inventory position is for walnuts?
Michael Valentine: Well, I don't expect that to be the case. Like I said, with shipments down significantly and with the big crop coming our way, I think all handlers are anxious to prevent any kind of losses and will be aggressive sellers.
Francesco Pellegrino: Only the thing, know a couple of years ago, it came down to walnuts that you're long on at a high acquisition cost, that's sort of hurt you. And now it just seems as if you might be able to sort of benefit from the strong crop coming in and other sellers just trying to get rid of their inventory before the new crop comes in, which makes sense.
Michael Valentine: Yes. I'm not predicting a windfall here, but we are positioned very well for a record walnut crop coming this fall.
Operator: And our next question comes from the line of Craig Bibb with CJS Securities.
Craig Bibb: I apologize if my questions are too short. But the branded products as a percentage of total sales, I had to jump on from another call, you may have said that already.
Jeffrey Sanfilippo: Yes, we'll get that for you, Craig. You want to go to your next question, and we'll get back here on that...
Craig Bibb: Sure. Orchard Valley Harvest, you guys are just blowing the doors out, but there are a lot of moving parts there. So what percentage of ACV is Orchard Valley Harvest than today? And how much did that grow year-over-year?
Jeffrey Sanfilippo: So ACV is actually -- yes, I was going to say that Orchard Valley Harvest ACV is relatively small. So huge upside on opportunities to expand distribution of our Orchard Valley Harvest brand. It's -- we're really just gaining traction now with some of the key retailers, but there are lot. There are still opportunities for Orchard Valley Harvest.
Craig Bibb: But it's like 40% of ACV now or where are we?
Jeffrey Sanfilippo: Let's see, if I have that number. I don't know if Howard's there.
Michael Valentine: No, he is not.
Jeffrey Sanfilippo: Okay. Let me see if I had it in my notes.
Michael Valentine: Well, Jeff's looking for that, Craig. So branded as a percentage of our total sales year-to-date are 40% compared to 41% in the same period last year. That slippage is primarily due to the increased volume as private label that's offset the growth that we've had in -- on branded. And again, that's -- those are percent of total sales in the consumer channel.
Craig Bibb: In the consumer channel. Okay. Great. That's helpful. And then, are you likely to -- is there -- as you lap the increase in private label, would branded continue to grow? Or is that not a trend that you could talk about?
Jeffrey Sanfilippo: Yes. We've grown distribution, especially fisher recipe with new retailers. So in spite of the major retailer expanding their private brand recipe nut program, we gained significantly new distribution with other key retailers. So we do anticipate making up that private brand market share shift with other retailers.
Craig Bibb: Okay. I'm just looking for percentage of ACVs. I'm assuming salad toppers is in a pretty small percentage of stores and multi-packs is all the stores that are at the Orchard Valley Harvest? Or is that still also being rolled out?
Jeffrey Sanfilippo: Correct. Now multi-pack has been very successful across all of our distribution. Salad toppers was really a relatively new launch just this -- within this past year. So we started out in club channel, and we're expanding it now to typical retailers. So again, very, very early stages, but we anticipate there's a lot of opportunities to expand salad toppers. It's been just very successful and we've got distribution, and there's a lot of interest in salad toppers in general.
Craig Bibb: Okay. And so I know you don't have the numbers right in front of you. So your percentage of ACV went up and then your sales per ACV, I assume given the results must have increased also?
Jeffrey Sanfilippo: Correct, yes. Well, velocity is -- yes -- I'm on the road, so I don't have some of those numbers in front of me. I would say the velocity was relatively stable. I wouldn't say we increase velocity, but it's stable, but definitely, total points of distribution expanded.
Craig Bibb: And the last one and you probably touched on this earlier, but just the latest on the lost distribution for the Fisher recipe nuts at the large retailer?
Jeffrey Sanfilippo: So we've worked with that large retailer to look at how we can expand. There were some challenges that were faced with their new private brand program. For example, they eliminated a lot of the small ounce weight sizes, and their consumers look for that pack size, especially outside of the holiday season. And so we're working together to try to reinitiate some of those smaller pack sizes for that retailer. But again, it's really made up of adding additional retailers to overcome some of that shift in private brand at that major retailer, in addition, expanding our Fisher recipe distribution with that major retailer, again.
Craig Bibb: Okay. In that -- the shelf space that was reallocated to private label to someone else's private label. That's not -- they're continuing -- that's going to remain private label? Or do you have any chance...
Jeffrey Sanfilippo: It's going to continue private brand, correct. We will be making up some of that shelf space with Fisher recipe due to some of the negative changes that took place once they move to a complete private brand program for some products in ounce weights.
Craig Bibb: But you still have the large packs there?
Jeffrey Sanfilippo: Correct, yes. Correct.
Operator: [Operator Instructions] And our next question comes from the line of Dustin Henderson with Eagle Asset Management.
Dustin Henderson: Just have one quick question. Anything that is worrying you guys about tariffs in China?
Jeffrey Sanfilippo: We have -- yes, go ahead, Mike.
Michael Valentine: Okay. So in the short term, we think that any demand reduction that arises from tariffs in China could be beneficial for us, especially, on almonds and pecans. But, of course, in the long run, trade wars don't benefit anyone. But at least in the near term, we think we would call that a positive.
Dustin Henderson: Just because you'd have more to sell here or something?
Michael Valentine: Right...
Jeffrey Sanfilippo: Correct. It would reduce the -- China is a major importer of pecans and almonds, but significantly, pecans. They're taking close to 25% to 30% of the crop. And so, if tariffs going to effect, you'll see less exports to China we anticipate, which would mean growers in the U.S. have to find and Mexico have to find homes for those pecans, which could negatively impact the price of unshelled pecans this coming crop year.
Operator: And I'm showing no further questions. So with that, I would like to turn the call back over to Michael Valentine for closing remarks.
Michael Valentine: Thank you, Andrew. Again, we'd like to thank everyone for their interest in JBSS. This concludes the call for our third quarter fiscal 2018 operating results.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. And you may all disconnect. Everyone, have a wonderful day.